Sandra Åberg: Good morning and welcome to Essity's presentation of the Q1 2024 results. My name is Sandra Åberg, Head of Investor Relations. And joining me here today are our CEO, Magnus Groth; and our CFO, Fredrik Rystedt. They will soon present the highlights of the results. And after that, we will open up for questions. With that, I had over to Magnus. Magnus, please, the floor is all yours.
Magnus Groth: Thank you, Sandra, and good morning, everyone. Welcome to this quarter one report presentation for Essity. And today, the folks would be on the report, of course. Just to start briefly, what we're seeing today is the result of a lot of hard work over the last seven years since we created Essity through the split from SCA, where we've been working with the restructuring, acquisitions, divestments, different efficiency programs, but also creating a common culture, common go-to-market, supply chain, and developing the company step-by-step. And we're at the end of that journey of the radical changes, and entering a phase with more, of course, continuous improvements which will [technical difficulty] we also had, last year, primarily in Professional Hygiene, where we did some major restructuring, and we're seeing the impact of that on the top line. But we're now entering a phase where we are focusing on utilizing all these fantastic assets, our fantastic people, and our organization ways of working to grow volume based on our strong brands and innovative products and services. So, that's just a little starter for the meeting here today. I would also like to draw your attention to the picture here, because it's a new innovation. It's a walker, you've seen those before for people coming back from skiing holiday with a foot or -- let's see here. I'm -- I lost the picture here earlier, but here we are. I do just want to do some advertising, if can get back to that one. And so, this walker, you've seen them before, but this one is more comfortable, and it's 20% lighter than the previous edition, so it's more comfortable for the wearer. And, of course, from a sustainability perspective, that's also a big improvement. And it's under the Actimove orthopedic soft goods brand. Okay, let's get into the first quarter, which can be summarized by high profits and strong cash flow. So, we saw high profits and improved margins in all our different three business areas. We saw volume growth excluding restructuring and exits; we'll talk more about that through the presentation. We had a very good pricing discipline. Pricing was more or less flat sequentially. And the price declines that we've seen compared to a year ago are based on pricing decisions made last year. A very strong cash flow again. And we finalized the divestment of Vinda in the first quarter. So, summarizing then the financials, and these are numbers excluding items affecting comparability. Organic sales growth was minus 4%. Again, volumes excluding restructuring were positive. EBITA improved 14% to SEK 4.88 billion, and EBITA margin improved significantly to 14 points. And ROCE, for a second consecutive quarter, ended up above 17%. As I mentioned, we divested Vinda, and we also received the sales proceeds. And the sales proceeds were not only SEK 19 billion, strengthening the balance sheet, but also a capital gain of SEK 9 billion, so a very, very good and profitable transaction. And moving then over to what our focus is now, and what I already mentioned at the beginning of the presentation. Our three attractive business areas that we have created, I think they are now very well organized, structured, strong go-to-market, strong supply chains, and ready to grow. In Health & Medical, this is especially attractive since we have great underlying growth due to factors that you're well aware of; ageing populations, prevalence of chronic conditions, and an area where we have invested very much in innovation over the last couple of years. So, really set up for growth. Consumer Goods, our biggest business area, here we are focusing on growing in Incontinence Care retail, and in the Feminine Care, while in Consumer Tissue, we want to utilize the assets that we have to the maximum to get operating leverage, and the same in Baby Care. And finally, Professional Hygiene with our global leading brand, Tork, now 25% of sales. You can see that compared to a few years ago, the mix here is somewhat different overall between the business areas, and in favor then of the higher yielding, less capital-intensive businesses, where we have a fantastic starting point, and where we're aiming to exceed market growth going forward, now coming out of the final restructuring that we did first-half of last year. With that, I'd like to just give a quick overview of the three different business areas, and starting with Health & Medical, a significant improvement of EBITA margin and cash flow, organic sales growth 2.6%. And as you can see here, we have a growth both in Incontinence Products Health Care and in Medical, with the big improvements in price and mix. Volumes were down 1.2%. But actually, also in Incontinence Care Health Care, we did make some restructuring. We stepped out of lower yielding or unprofitable products, and that's what's reflected here. So, underlying, where we come out of this situation through the year here, so excluding those exits we actually had positive volumes also in Health & Medical. Significant, I would say, an amazing improvement of EBITA and margin, EBITA up 66%. And remember, this is the business area where a big part of our business comes from three-year contracts. So, what we always said, it's kind of more sticky, it takes longer to completely renew that portfolio. But the team has made a fantastic effort, and been able to improve then EBITA with 66%, and the margin with 720 basis points. So, a huge improvement year-over-year, and something we're really happy about, of course, the quick recovery here. Moving over to Consumer Goods, volume growth for all categories, and again higher EBITA and margin, you can see the number here. Organic sales growth was down 4.8%. And a big part of that is from price mix, where the big component is price. And we came into last year with a very, very low or very, very high raw materials and energy costs. And then, throughout the year, they came down drastically in 2023. And we followed, but with very good discipline, so our margin improved. And that means that we have a negative impact this year from pricing on the top line, but, as I stated and as you can see here also, a very good impact on margins. And, of course, we are much more agile today and following in pricing. And now that pulp prices are starting to trend up again, we expect to be able to manage that in the same good way as we did. And volumes were higher for all categories, in total plus 0.6%. And again, higher EBITA and EBITA margin for Consumer Goods. Finally, Professional Hygiene, strong mix, higher EBITA and margin. And the reason why we mention mix here specifically is that a major reason for us doing restructuring here, in the first-half of last year in Professional Hygiene, was that we still had some assets and some product areas that had very low or no profitability, and they were drag on our margins. And we decided to restructure, and to focus then on the very attractive portfolio there. We are left with products like PeakServe, that we've spoken about many, many times, and Xpressnap, for instance, systems where we are growing double-digit year-over-year, over year, with very good gross margins and margins. Of course, this restructuring had a major impact on organic sales growth that was down 6.9%. But as you can see, excluding restructuring, volumes were up 0.9%. And again, higher EBITA and EBITA margins, so excellent work in this business area. So, all three business areas doing really, really well. With that overview, I would like to hand over to you, Fredrik, and to present the financials in a little bit more detail.
Fredrik Rystedt: Thank you, Magnus. And I guess I'll provide an overview more for the group as a whole. And, of course, you've picked up some of these components already from what Magus has talked about here, but if we look, starting with the underlying volume, 0.6%, so quite a reasonable volume and that is 0.2% in H&M, 0.6% in Consumer Goods, and then 0.9% in PH. It was slightly lower for PH in the quarter if we compare to the previous couple of quarters, and this was actually partly due to a bit of destocking in the quarter, so more of temporary nature, perhaps, when it comes to the underlying part. As Magnus already mentioned, when it comes to the restructuring and exits, minus 2.4%, this is both in Professional Hygiene that we have talked about a lot, and the impact on PH is quite significant with minus 8.6%. And as you have heard many times, we also did a lot of what we call cure or kill activities or exiting from non-profitable contracts in H&M during the first couple of quarters of last year in particular. And that had an impact on the H&M volumes, roughly with 1.4%. Now if you look forward to the next few quarters here, the PH restructuring impact will be there for the entire year, although gradually reducing during the second-half. But you'll see a similar impact next quarter and, of course, also in the second-half. When it comes to H&M, we'll see some impact also next quarter. But thereafter, the impact is going to be relatively immaterial. So, basically, all of these things have already been done in '23, but you will see the impact of it when we compare the numbers. So, if we look at price and mix, minus 2.2%, that consist of minus 3% in pricing, and then a positive mix for the rest. So, a positive mix of 0.8%. All of that pricing in actually relating or most of it is relating to Consumer Tissue Europe. But it's worth mentioning, of course, that the margins in Consumer Tissue Europe remains very attractive. So, basically, the prices come down in line with cost. It's worth mentioning perhaps, if you look at the group as a whole, we have the flat sequential pricing, so once again these are price declines that were made during 2023. Now, if you look at maybe mix then, it was predominantly then as a final component related to PH, and also to Incontinence Health Care in particular. Turning to the result, you can see that there is a significant increase in gross profit margin. And this is, of course, compared to the first quarter of 2023, but it's also sequentially better. And, in fact, if you look at our numbers, you will see that the gross profit sequentially has increased now for six consecutive quarters, so it's a very strong development that has continued in this quarter. Price cost gap, of course, is of course the main parameter. And as cost has come down in our books, we have kept that very strong pricing discipline. And, of course, that has helped the gross profit margin quite significantly. But we're also really pleased about the development of our efficiency gains in COGS. So, obviously, we had almost SEK 430 million in the quarter of savings, so very, very strong. And these savings, they come from everything from negotiations or increased discounts, also comes from material rationalization. We have some gains from the restructuring that we talked about in PH. But to be fair, we've actually had benefits in pretty much all parts of our supply chain, so really good quarter from that perspective. We've given some guidance here previously, about SEK 500 million to SEK 1 billion for the year as a whole. With the start of the year, we believe it's likely that we'll end up towards the upper part of that range, so worth mentioning that. If we then come to the A&P part, we've spent, roughly, about SEK 180 million more in A&P, so a fairly considerable increase compared to last year. And that has an impact on sales with -- or compared to sales with about 70 basis points. And this is very much in line with our ambition to fuel growth with additional spending in A&P. You can also see here that SG&A has increased quite significantly if you compare it to sales. And there are many reasons for it. Let me just start with the, perhaps, obvious. As the sales number has actually come down, the base is actually lower, so that's a considerable part why that ratio to sales is increasing. But we also see some -- a fairly high salary increase level, so the inflationary level is coming through here. We've spent and invested more into digitalization in general. And there's a final, which is a bit smaller component, but we've also frontloaded our provisioning for bonuses a bit for this year, so all of that sums up to the 190 basis point. Worth mentioning, perhaps as a final comment on that, we have not really increased headcount in any material way. So, headcount increase is not a contribution to this number. Turning to cash flow, we're really happy about, of course, the continuation of the strong cash flow generation. And you can see that operating cash flow, although a bit lower than Q3 and Q4, is still on a very high level in comparison to history. So, Q3 and Q4 last year, in '23, was impacted by the fact that we had a fairly, you can say, low cash flow generation in Q1 and Q2. This year is much more normal, so continued strong cash flow -- operating cash flow. Good control over working capital. And in addition, as you can see on the table to the right, the purchase or the divestment of Vinda, of course, has further contributed, so receiving the proceeds has further contributed to that strong cash flow. And then, of course, as a result of this, clearly, the financial situation has very much strengthened. So, you can see that we ended up the quarter with 1.32 in net debt to EBITDA. So, net debt of SEK 34.3 billion. And that is a consequence of that strong cash flow, but also the fact that we have received the proceeds from Vinda and, of course, the net debt attributed to that, so a strong financial position. And with that, I leave over to you, Magnus.
Magnus Groth: Thanks. So, one other thing we did in the first quarter was that we published our annual report. And I hope that you've seen it, and appreciate that. And I'd like to just catch up also on our sustainability targets and ambitions. And to summarize this picture from the annual report, all the red numbers are green, that's how I would summarize it, because the red numbers are the achievements, trying to joke a little bit here. Those are the results for last year. And when you compare to the targets and their ambitions, we're moving very much in the right directions, so no issues here, especially happy about the health and safety development, where we are becoming world-class when it comes to health and safety in the company. And I believe that this is also what is significant for what high-performing, efficient, successful companies see. They see very, very good health and safety performance. And as you have seen many times before, we are seeing recognition. And down below, there are just a few examples of the awards that we have received over the last couple of years, and in the first quarter. So, to sum up then, Essity is in better shape than ever. So, something I stated at the Annual Shareholders' Meeting and that I feel very, very good about. And why is that? Well, I already mentioned, we have a more efficient production. We have gone through the tissue roadmap, we have gone through cure or kill exercises, we have done restructuring, we have worked with [M-trend] (ph) efficiency improvements in the entire supply chain, supply-demand planning, digitalization, and so on. We have a lower volatility, going forward, in our earnings. And this comes from the Vinda divestment, which means that we have reduced our purchase of pulp with half. Of course, that's a huge impact on volatility. So, that's a big impact. But also the fact that, in general, with a more premium assortment in the higher margin areas and categories, that also leads to lower volatility, as does the next bubble there, pricing power. We have proven over the last number of years that we have pricing power, but also as importantly, because the pricing power comes from the strength of the brands and the innovation that we do. But what we also did need is pricing agility to be able to adjust the prices on short notice, as we see underlying swings. And this is something we have managed better, and better, and better over the years, and we can see the result now in the first quarter as well, and overall, a more profitable and attractive portfolio with the changes that we made on a high level, and combining the strong cash flows that we generate with the proceeds from within the divestments, a very good financial position. So, in better shape than ever, and looking forward, now we're going to leverage the good underlying margin levels that we have here now with a focus on volume growth and top line growth, of course, organic growth. So, with that, thanks for listening to our presentation. So, I think it's time for questions and answers. Sandra, welcome back.
Sandra Åberg: Thank you, Magus, and thank you, Fredrik, for taking us through the results. We are now looking forward to your questions. I remind everyone to just have one question per call. So, then, please, operator, open up for questions.
Operator: Thank you. [Operator Instructions] Our first questions come from Victoria Nice from Bernstein. Your line is open. Please go ahead.
Victoria Nice: Hi, there. Good morning, everyone. I just wondered if you could talk through your decision not to update the [ROCE] (ph) target yet, especially given the delivery of the last few quarters. And I guess how we should think about that moving forward in the context of higher raw material prices coming through? And then also still related to that, how you're thinking about shareholder return, and they're now in optimum leverage now post the Vinda disposal, and at what speed could you take any action, if any? Thank you.
Magnus Groth: Okay, I will give it a try to answer your one question. Yes, and maybe I should have mentioned during the presentation, when it comes to updating our financial targets and our financial policies, we will come back in this quarter, in the second quarter, so, not today, but in this quarter. And we're already well into the quarter. So, just to make that clear, please, I ask for some more patience here. But in the second quarter, we'll come back with financial targets and financial policy updates based on the fact that, yes, the group looks quite different now without Vinda. So, that was number one. And, of course, with the balance sheet we have, we have flexibility to utilize that strength in many different ways. And you mentioned some, and we plan to combine, as we've done organic and acquisition growth, but also making sure then that we have good financial policies in place that makes us attractive as from a shareholder perspective. So, that's definitely something we'll come back to in quarter two. And then the third question, I almost forgot here in the meantime. Do you remember, Fredrik?
Fredrik Rystedt: I think, Victoria, if I remember, you asked whether this was related to the increase of raw material and pulp, if that was your question. And it's not really. It's just that we just work it through, and then we'll publish it or disclose this during the second quarter. So, it's not related to any specific concerns about raw material.
Magnus Groth: When it comes to raw materials, again, I want to underline that we are much more -- we're not as exposed to raw materials as we were a year ago. And we are much more agile, and we trust our brands, and we have, I think, a very efficient go-to-market now. And you can clearly see that in the first quarter results also.
Operator: Thank you. We will take our next questions from Niklas Ekman from Carnegie. Your line is open. Please go ahead.
Niklas Ekman: Thank you, and good morning. I'd like to follow up on that question or the topic of raw material prices. Obviously, a very positive here in Q1 year-over-year, but given that pulp prices are up more than 40% since the trough in July last year, is there a risk that this will reverse to a negative impact again already from Q2? And if so, how well-prepared are you? I mean, is there room for price hikes? Have you started to do price hikes already at the start of Q2? Can you elaborate a little bit on this impact, and what we can expect in Q2, Q3?
Magnus Groth: Really just reiterating what I said before. We feel very confident that we are more agile, that we have pricing power and the ability to manage then changes in underlying raw material costs, pulp prices, and also in other costs. So, we will manage it this time. There is some lag still, but much shorter than what we've seen historically in our ability to manage pricing. And just as a reference, there was one or two competitors that went out publicly over the last couple of days with press releases on price increases, especially related then to consumer tissue.
Niklas Ekman: And have you done the same? Have you raised prices at the start of Q2?
Magnus Groth: We are working with pricing in a very agile way, and managing the situation. And I think it's enough to say that we can see the pulp prices, as well as you can, of course. So, we will not sit back and just wait for it to happen. Of course, we will do everything to manage that situation, which we can do in a better way than we've ever done before. Again, because we only buy half as much pulp, but also because of the fact that the portfolio we have, especially in Consumer Tissue is very much focused on strong brands, strong market positions. And we've seen through the last couple of years that our brands or products are loved by our consumers, and also by the retailers. So, we feel we're in a very good shape to manage that.
Niklas Ekman: Very good. Thank you so much.
Operator: Thank you. Our next question comes from Charles Eden from UBS. Your line is open, please go ahead.
Charles Eden: Hi, good morning. Just one question [indiscernible], just on the volume trends and your market share trends specifically within that, obviously, last year, by your own admission, exited contracts to protect margin. And that's also loss in market share. Are you seeing, sequentially, an improvement and some market share gains on an underlying basis in Q1 or are you still below that sort of 50%-plus level of holding and gaining share? If you could comment on that would be helpful. Thank you.
Magnus Groth: Gaining is -- we're mostly stable. Gaining is certainly less than 50%, but we're mostly stable. So, a good starting point then for moving to gaining share, which we have done looking back, and where we think we are very well-positioned with the innovation that we have, with the product launches that we are planning for, so feeling good about that going forward.
Charles Eden: Thank you.
Operator: Thank you. We will take our next questions from Karel Zoete from Kepler. Your line is open, please go ahead.
Karel Zoete: Yes, good morning, all. Thanks for taking the questions. I have a question on the Inco Retail business, you did quite well. Also, if I compare it to some others names out there. Can you be a bit more specific where the business performed strongly? And the second question is, now the Vinda deal has been closed and you lose some markets in Asia, access care for some of your key brands, but what different models will emerge? And how will your Asian Personal Care business look like going forwards? Thank you.
Magnus Groth: Okay. Yes, Inco Retail specifically, as you state, very good progress, happy about that. We have very, very competitive assortment. And we are also planning to launch a number of quite impactful innovations now in the short-term, so in a good position. Just in general when it comes to Inco Retail, but also Feminine Care and Baby Care, of course, when we launch new products we make sure that we also have a cost improvement in the cost of goods sold, which also makes us more competitive in the market. And that's something we're looking forward to in Inco Retail also. From a very low level, I think one highlight is the U.S., where we are doing better and better in Inco Retail. It's, of course, a bit market where we are small, but we have seen the stabilization and somewhat of a turnaround in the U.S. And also in Latin America, we're doing really, really well in Latin America. And in parts of Europe, where there is a little bit more of a mixed picture, but typically, of course, in Europe we are by far the leading player, so -- and the challenge is more from private label, I would say, today than from branded competitors. So, that's a little bit of a change compared to a few years ago.
Karel Zoete: Thank you.
Operator: Thank you. We will take our next questions from Linus Larsson from SEB. Your line is open, please go ahead.
Linus Larsson: Thank you very much, and a good morning to everyone. On volumes, talking about increasing focus on volume growth, I wonder when we will start to see, on a reported basis, volume growth, and if you could put any quantification or specification on your prospects for growth in the coming year?
Magnus Groth: On a reported basis, we will still have the same impact, as Fredrik said, from Professional Hygiene in the second quarter, and small impact from Inco Health Care. And then, a small but still impact from Professional Hygiene in the second-half of the year, so towards the latter part of the year.
Linus Larsson: And any quantification?
Magnus Groth: We don't make forecast as you know. So, I don't want to get into that.
Linus Larsson: Thank you.
Operator: Thank you. [Operator Instructions] We will take our next question from Oskar Lindström from Danske Bank. Your line is open. Please go ahead.
Oskar Lindström: Good morning. Three questions from my side. I mean the first one being on consumer tissue. If you could say something little bit about what the competitive environment is like in Europe for you right now? That's my first question. Should I go ahead with the other two questions as well?
Magnus Groth: I'll answer the first. And leave the second to Fredrik here. I stated now for a number of quarters that we don't see any exceptional circumstances in Europe in negotiating with retailers that are unusual or exceptional in any way. It's business as usual. And, we had very good annual negotiations regarding all our categories, also consumer tissue, and feel that we are in a good place. And as I mentioned before, we've seen announcements from some competitors, so -- general press releases about kind of price increases in all geographies and in all product areas.
Oskar Lindström: All right. Thank you. My second question is on the theme of reviving volume growth. Did I hear you correctly here when you answered Linus' question about second-half of this year? Or, was it second-half of next year?
Magnus Groth: Towards the end of this year, we will have a small and smaller impact these restructuring efforts. So, from Professional Hygiene and little bit also from INCO Health Care, and then, the underlying volume growth, of course, how that develops depends on our success in the markets. But as I mentioned, we feel whether we are in a good place to grow the volumes underlying these restructuring efforts and then eventually towards the end of the year with less and less impact from those restructurings.
Oskar Lindström: Great. I mean, one here is about sort of reviving volume growth, I mean I am guessing it's either pricing, lower prices or more A&P spending, or more investment into new products and product launches. What do you see as the driver of your revived volume growth? Is it just going to be sort to assuming that the market improves, or any actions on your own side?
Magnus Groth: Fredrik?
Fredrik Rystedt: Yes, maybe, Oskar, because it's all of the above. But just as a general remark, we have -- if we start with our target and of course, we will revisit them. But just as a general remark, of course, within our targets we are planning for a volume growth in the existing targets of a couple of percent a year, the underlying growth. And if you actually look at history, we have been good at achieving volume growth. Now in the last couple of years as you know, of course, the underlying volume growth has been impacted by the fact that we have relatively aggressive in terms of pricing. So, we tend to lose a bit of market share when times are tough in terms of input cost, as an example, increasing. And we tend to gain when the levels are either stable or falling. And so, this is mainly going back to normal doing what we do really well. We put a lot of innovations on the market. And of course, we utilize our very strong brands. So, it's not about cutting prices or reducing profitability to get growth. It's more going into a normal state. So, of course, that we will couple with continued launches. And then, significant investments into A&P as you have seen this first quarter as an example. So, it's basically a combination of innovation and A&P, of course.
Oskar Lindström: All right. Thank you. My final question is on the strong balance sheet post Vinda divestments. What do you foresee using the strong balance sheet for? Are you looking more for acquisitions that you've done before? Are there any other needs? Returning capital to shareholders? And, do you have an update on this issue of the bondholders challenging the divestment of Vinda as a change -- arbitral change in the business?
Magnus Groth: First of all before letting Fredrik answer the Vinda question, these are not related in any way. There is no connection between these two questions. And it comes to the first question about our financial policies and guidelines, we will be back within the quarter. So, I just want to reiterate that. And, of course, there are different ways to use capital as we have discussed and also done over the years, and when it comes to an update on the bond issue, Fredrik, over to you.
Fredrik Rystedt: We really don't have much of an update there, Oskar. As we have communicated many times before, we have made several surveys in terms of our legal position. We deem that to be very strong. So, there is no really update. We have not received any formal requirement for accelerated payments. So, I really don't have any update for you more than we have said before.
Oskar Lindström: Super. Thank you. Those were all my questions.
Fredrik Rystedt: Thank you.
Operator: Thank you. We will take our next questions from Mikheil Omanadze from BNP Paribas. Please go ahead.
Mikheil Omanadze: Good morning, Magnus. Good morning, Fredrik. Thanks for taking my questions. I have two. Can you please make your usual comments on your expectation for raw materials, energy, and maybe some other elements of the everyday breach for Q2? And the second one is on consumer tissue. Looking at the scattered data for your branded tissue offering in Europe, we saw some pronouncedly negative development in volumes in the later part of Q1. What was it really driven by? Did you choose not to engage in promotional activity? Any color would be helpful. Thank you.
Magnus Groth: Starting with the second question, of course, this could change within a quarter and between quarters. In general, we feel good about the development of consumer tissue where we aim to find volume levels where we leverage the modern assets that we have. Sometimes in a quarter, when we have especially in relation to annual negotiations which typically also continuing to the first quarter, there could be short periods of boycotts or kind of destocking from customers and so on. So, that could have a short-term impact. But, it's not material and something that's just part of day-to-day business. Then, over to Fredrik.
Fredrik Rystedt: Yes. Mikheil, suggest as a general no perhaps, of course, what's important for us is the relative development of the overall COGS, not specifically the individual components. So, we have kind of refrained from providing too much detail in our report as you've probably see. But to just give you a bit of insight nevertheless, on the positive side so to speak as we have already mentioned here, we talked about our efficiency gains. We expect to continue to have a good level of efficiency gains also in the second quarter. So, that's on the positive side. Clearly which is very much observable on the marketplace, you can see that energy is also a bit positive when we have little bit lower consumption typically in the second quarter versus the first. But equally as has been discussed before on this call, you have also seen the pulp cost has increased a lot. So, if you kind of take that balance, of course, it's reasonable to believe that COGS will be up in the second quarter. And then, of course, we talked about the price management before, so whatever we do there. So, I think two positives and one negative.
Mikheil Omanadze: Very clear. Thank you very much.
Fredrik Rystedt: Thank you.
Operator: Thank you. Our next question comes from Karri Rinta from HSB. Your line is open. Please go ahead.
Karri Rinta: Yes, thanks. Thanks for taking my question. Karri, Handelsbanken. The 1.9 percentage point drag from increased SG&A, you mentioned wage inflation [indiscernible] frontloading of bonuses. But can you break that down a bit more? And, whether we should expect that to continue for the remainder of 2024, the similar kind of a headwind from increased SG&A?
Fredrik Rystedt: Yes, I can break it down a bit. If I put it this way without giving you every little detail there, you can say that about 60 basis points of that 190 there relates to just a different base. So, that's not cost. In a way, it's a different sales number. And then, the absolute or the biggest part of the rest is relating to salary inflation really. So, the bigger part of the rest so to speak is salary inflation. I also mentioned that frontloading. I also mentioned additional IT spend. So, if you look forward then to the second quarter, we expect to -- actually SG&A cost to be roughly about stable. If you disregard A&P, so I am not giving you forecast on A&P, it will remain on a high level. But if you look at SG&A, it should be about stable if you look at Q2 versus Q1, so roughly there, so, of course, obviously just to complement that most of these costs increases have already happened, so to speak, in 2023.
Karri Rinta: Great. Thank you very much.
Fredrik Rystedt: Thank you.
Operator: Thank you. [Operator Instructions] It appears there are no further questions. So, I will hand back to your host for any additional or closing remarks. Please go ahead.
Sandra Åberg: Thank you, Operator, and thank you all for questions. Before we conclude, I will leave over to you Magnus for some final remarks.
Magnus Groth: Yes. So, finishing where I started, we have come a long way with Essity and the company is in better shape than ever. And, we feel energized and enthusiastic about the year ahead here. And, look forward to meeting you next quarter again.
Sandra Åberg: Perfect. Thank you very much and take care.